Operator: Good morning and welcome to the CEMEX Second Quarter 2020 Conference Call and Webcast. My name is Chuck, and I’ll be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] Our hosts for today’s call are Fernando Gonzalez, Chief Executive Officer; and Maher Al-Haffar, Chief Financial Officer. And now I would like to turn the conference over to your host, Fernando Gonzalez. Please proceed.
Fernando Gonzalez: Good morning. I hope this call finds you and your finally in good health. Thanks for joining us to our second quarter 2020 conference call and webcast. I’m joined by Maher Al-Haffar, our newly appointed CFO. As usual, we will be happy to take your questions after our initial remarks. Let me just remind you that beginning this quarter Europe, Middle East, Asia and Africa regions have been just consolidated into one region. We are very pleased with our performance in second quarter under extraordinarily challenging conditions. Our safety protocols kept employees safe and our business is operating. Our geographic diversification was a clear advantage as government restrictions on our businesses varied significantly from market to market. Our bagged cement product was resilient across our emerging market portfolio. Our infrastructure is bolstered on developed market footprint provided a stable base of existing medium-term business to execute. Our existing digital platforms allow our customers and us to work seamlessly on in a low torture environment, while our distribution network enabled us to meet surprisingly strong bagged cement demand in remote markets. Pricing was resilient with a difficult demand environment in many markets, while energy provided a nice cost savings. Took important steps to boost liquidity and de-risk our financial profile. I’m especially grateful to our employees who rose to the COVID-19 challenge and made the necessary adjustments to keep our colleagues and customers safe and our facilities operating. Despite our safety efforts, there have been cases of COVID-19 among our employees, customers and suppliers. I would like to extend my sympathy and hopes for a full recovery with each and every one of you. Our three product priorities rollout in February, which we have now named Operation Resilience, guided us in the quarter. Our top priority was to protect our employees, suppliers and customers, thereby ensuring business continuity. We introduce new operating protocols, which included social distancing, minimal staffing at work, daily temperature checks, testing of employees and timely case management, track and trace capabilities to minimize virus spread, outreach to employee families to reinforce health and safety measures in the home environment. As a result, I’m pleased to say that the outcomes among all employees are significantly better than national statistics. In a world of social distancing, we employ a strategy of human touch at a distance. And we saw 13% increase in a number of visits to our CEMEX Go platform versus pre-COVID-19 levels, while visits to our Construrama website for Mexican retail customers increased 19% in second quarter 2020. Our global sales force seamlessly transitioned from customer visits to virtual meetings, hosting thousands of video conferences. Our supply chain and distribution network allow us to satisfy strong bagged cement demand without interruption. And we shared best COVID-19 construction practices with our customers and suppliers. But that’s not enough to keep our facilities running, we needed to share best practices with customers and suppliers to keep them running. These efforts were recognized by our customers. We obtained the highest global Net Promoter Score ever in second quarter 2020. We took steps in a highly uncertain times to minimize financial risk. We conserve cash and nail down all available funding sources. We renegotiated our leverage covenants with our bank group and COVID-19 challenges to our business are not over and these priorities will continue to guide us going forward. Part of protecting the future of CEMEX in a world of high COVID uncertainty, where we might face disruption to the capital markets is reducing financial risk wherever possible and ensuring that we have sufficient liquidity for whatever lies ahead. We initiated this process of building our liquidity position in February, with a decision to retain proceeds 500 million from the sale of our Kentucky assets. Additionally, we drew down on the majority, about $1 billion of our bank revolving facility. We continue to build the cash position in second quarter, by drawing down on the remaining revolver as well as additional short-term credit lines for about $446 million. We took advantage of the first market window available to us post-COVID-19 to access the capital markets with $1 billion seven year notes. Finally, with the help of our COVID-19 cost savings program and better than expected volumes, we generated $90 million of free cash flow in the quarter. We ended the quarter with the highest cash balance ever. We expect that our cash position will be further strengthened in the second half of the year by the closure of our two previously announced divestments of $400 million. Our visibility on our market improved with respect to the broad part of our cash position to pay down debt. Coronavirus challenge in second quarter was really about the government mandated lockdowns and industry closures in our markets. It is the first time we have ever experienced national shutdowns of our industry. Strength of sales related strongly with level of restrictions. In second quarter, we faced complete industry shutdowns in markets representing 12% of consolidated EBITDA. Colombia, Panama, the Philippines, Trinidad volumes in this market declined between 30% and 90% in the quarter year-over-year. In our other markets, lockdowns had [indiscernible] impact on demand for our products. For example, in our footprint in the US, government restrictions had little impact on demand in the quarter. While lockdown restrictions in the UK and France led to the demand decline of approximately 35%. In all cases, demand pick up rapidly as restriction is almost as fast as they fell. Consolidated volumes fell 24% year-over-year in April, and month-to-date July volumes have recovered to be up 4% year-over-year. We expect that the challenges of the next stage of the pandemic will be different. Governments may impose new restrictions to cope with virus flare-ups are expected to be moderate in tone and will not occur simultaneously. The issue requires for our business will be more about the impact of economic slowdown in market, fiscal programs and pace of recovery. During second quarter, sales fell 10% like-to-like drop is attributable to Mexico, EMEAA and SCAC the regions that experienced the most stringent lockdowns in the quarter. Year-over-year decline in sales was a function of a double-digit drop in consolidated volumes, while local currency prices for our three core products increased between 1% and 4%. Like-to-like EBITDA declined 6% year-over-year. The US was the only region with a year-over-year increase in EBITDA. Our cost containment programs and a decline in energy costs were impactful in the quarter, shown by the 70 basis points improvement in margins year-over-year. By the large decline in volumes, we still were able to generate free cash flow after maintenance CapEx of $140 million, $77 million less than prior year which is equivalent to the decline in year-over-year EBITDA. Finally, COVID-19 did not deter us from making progress on our ESG goals. As the highest alternative to choose during Europe on a trailing 12-month basis. 100% of our electricity in Poland is now renewable. A clinker factory in Egypt was our lowest ever. Our cost savings under Operation Resilience were visible in the quarter. These savings include $150 million from our prior, a stronger CEMEX program was $80 million COVID-19 related cost containment initiatives for full year 2020. Savings year-to-date has improved our EBITDA margin in first half by 2.4 percentage points. Include savings from SG&A like fees, selling, marketing and distribution, travel expenses and headcount optimization. Operations in cement plant operational efficiency, low cost suppliers initiative, energy, alternative fuels and additional switches to pet coke and include $25 million for maintenance deferrals which will be largely executed in second half. And now moving on to the regions. The US continue to enjoy strong momentum in second quarter driven by infrastructure and residential. Did not experience much disruption from government lockdowns in our markets. We achieved the highest EBITDA in a quarter in the last decade, adjusting for asset sales. Infrastructure around 50% of the month saw a pickup in quarter as departments of transportation took advantage of empty roads to accelerate growth projects. The residential sector about 30% of the month has performed better than expected. Low interest rates, low new home inventory levels and shift in buyer preferences towards suburbs and single family houses. Stable sequential pricing in our three core products as COVID-19 delay implementation of April price increases in several markets. Year-over-year EBITDA margin expansion due to higher ready-mix prices, lower fuel costs and cost efficiencies in general. The second half of the year outlook, July month-to-date, cement volumes are growing 7% and the 3-month ready-mix backlog are promising. Do not have much visibility beyond September result. Thanks to our states to have fairly stable transportation spending. We expect this fiscal stimulus in the form of incremental transportation spending at the federal level. Low interest rates, low new home inventories and progressive recovery of employments should be supportive of the residential sector. In Mexico, the drop in sales in second quarter is the function of the decline in volumes, cement, minus 7% year-over-year and ready-mix minus 44%. We saw a divergent volume performance between ready-mix and cement, which reflected COVID-19 lockdown measures. Industry was only allowed to provide cement to essential infrastructure project and to retail for much of quarter. Former construction projects of private sector were suspended until June the 1st. We saw an acceleration in execution of key infrastructure projects like the new airport and Dos Bocas. We develop an innovative solution to meet the urgent need for hospital beds to deal with COVID-19 patients in Mexico with the construction of modular mobile hospital units. We constructed nine units during the second quarter in a record, two to three week periods each. Bagged cement, about 65% demand in Mexico shows significant growth, 10% in the second quarter year-over-year, mainly due to government investment in schools, housing programs and rural roads is also increasing home improvement projects as consumers spend more time at home. And historically, in uncertain economic times, the informal sector has shown more resiliency. Despite the second year of industry volume declines, prices have been resilient. Logistics and distribution networks allow us to meet search in bagged cement on a timely basis. Decline in EBITDA margin was mitigated by product mix, our cost savings program and lower fuel prices. And with regard to the second half outlook, we got limited visibility. In the first, we have seen recovery in both cement and ready-mix in the month. Ready-mix volumes have recovered from minus 44% year-over-year in second quarter to minus 19% July month-to-date. While cement volumes have recovered from minus 7% year-over-year, the same compared to last 11% July month-to-date. Bagged cement has been extremely resilient; at some point is that bagged cement to recalibrate the economic environment. Formal housing and industrial and commercial recovering at a slow pace. Despite continuous expansion of infrastructure spending, $26 billion further stimulus to increase spending on social and infrastructure projects. On Mexico City, economic reactivation program of $3.4 billion focused on construction. In EMEAA, first quarter in which we consolidate our Europe region with the Middle East, Africa and Asia in the quarter report, we do give more details on sub-region performance. In Europe, we experienced the same divergent behavior between Western and Central Europe that we saw in the first quarter. Central Europe was strong year-over-year, cement volumes in Germany, Poland, and the Czech Republic driven by infrastructure and less restricted lockdown measures. While Western Europe, with lower cement volumes in the UK, Spain and ready-mix volumes in France due to strict lockdown measures. Lockdown measures in each country volumes recovered with pricing momentum in cement and aggregates on sequential basis in Europe. The Philippines was the first country in our portfolio to experience lockdown and one of the most impacted in quarter. Big lockdown measures with solid plans into some province closed from March 16th to May 20. Cement volumes were down 31% in quarter, but volumes turned positive year-over-year in June with solid reopening. For more information, please see our CHP quarterly earnings which will be available this evening. In Middle East and Africa, we experience fairly low impact from COVID-19 in quarter. Israel, our record EBITDA and volume performance, Egypt’s decline in cement volumes, minus 13% due primarily to government suspension of private residential construction permit. Cash for the region most impacted by COVID-19 restrictions. Cement volumes declined 29% in second quarter of the year-over-year. favorable cement pricing dynamics in regions despite lower volumes. Cement was 3% quarter-on-quarter, it increases in practically all countries. Even with a large drop in volumes, EBITDA margin increased year-over-year, 1.7 percentage points, mainly due to lower fixed costs and SG&A, 5.2 percentage point margin benefit. The pricing efforts, 4.1 percentage points benefit and both offset by volume decline. In the region most impacted by government mandated industry shutdowns, we saw a sharp decline in cement volumes in April of 60% year-over-year, follow by a rapid recovery over the following three months. June cement volumes for the region were up 3% year-over-year. In Colombia, activity pick up in the back half of the quarter, driven by 4G projects on the self-construction sector. In the Dominican Republic we saw increased activity after restrictions were lifted. However, some tourism projects are being performed in Panama, with most restrictions currently only serving selected infrastructure projects and retail. For additional details on this region, I invite you to review CLH’s quarterly results, which were also published today. And now, I will pass the call to Maher to review our financial performance. Maher?
Maher Al-Haffar: Thank you, Fernando and good day to everyone. Our operating EBITDA declined 6% on a like-to-like basis this quarter. As we can see here, higher prices combined with a significant reduction in our fixed cost due to Operation Resilience, more than offset the impact of lower volumes. All of our regions as well as Central Europe contributed to these savings. Variable costs increased primarily due to higher raw material costs in our ready-mix business in several of our business units. This is due to higher prices of cement and aggregates, as well as the impact from purchased cement in some of our sold out markets. Reported EBITDA reflects the unfavorable effect from our currency fluctuation of $32 million. This is mainly due to the depreciation of the Mexican peso, but most currencies also contributed. Most importantly, as a consequence of the hard stop on expenses that Fernando discussed earlier, EBITDA margin increased by 0.7 percentage points on a year-over-year basis. Despite double-digit drop in our EBITDA, we generated positive free cash flow during the quarter as we managed to reduce and/or postpone our capital expenditures during the quarter. We aggressively managed receivables collections and aligned inventory levels to current demand. As a consequence, average working capital days in the second quarter this year improved to a minus 11 days. This compares very favorably to a minus 6 days in our second quarter of last year. We also had lower taxes year-over-year. This is primarily due to the drop in earnings in several of our operations. I would like to remind you that free cash flow is highly seasonal. We typically, as you know, we have larger working capital investments in the first half of the year, that significantly reverses in the back half. Similarly, we expect partial working capital reversals this year as well. In addition, we expect to execute much of the deferred maintenance CapEx in the second half of the year. It’s important to highlight that in the last 20 years, we at CEMEX have consistently generated positive free cash flow after maintenance CapEx every year, except for one year that was back in 2013, where we had a negative $90 million of free cash flow. As Fernando mentioned during 2Q, we continue to execute on Operation Resilience by accessing the capital markets. We were the first emerging market high yield issuer since COVID-19. We took the opportunity of issuing $1 billion in 7 year notes as Fernando mentioned earlier. We anticipate a slight increase in full year financial expenses due to this change. During the quarter, net debt which is adjusted for the effect of higher cash balances was marginally increased by $51 million, reflecting an unfavorable FX effect of $55 million. Proceeds from our newly issued $1 billion bond and the drawdown of the remainder of our revolving credit facility, as well as other credit lines, will be retained in our cash balance for the time being. As visibility in our markets improve during the year, we do expect to deploy most of our cash position to reduce debt. As you can see from this slide, we ended the quarter with a strong liquidity position and a manageable debt maturity profile. The majority of 2020 debt is short-term debt that we have withdrawn in the last few months to strengthen our liquidity. Next material maturity is not until 2021, which is essentially the $571 million due under our facility agreement debt, which is due July 21. All maturities through 2023 are bank maturities. We have no maturities in the capital markets until 2024. Our leverage ratio is defined by our facilities agreement marginally increased on a sequential basis to 4.57 times at the end of the quarter. This is well below the recently amended covenant level of 6.75 times. You should expect us to continue with our strategy of maintaining a 12 to 24 months runway without any significant maturities. As part of our strategy to respond to the Coronavirus pandemic, we initiated a consent request to amend our financial covenants and other items in our facilities agreement. We are pleased to report that we received 100% of the support of our banks on this by late May. And for that we thank them. Under the terms of the amendment, we modified the leverage and coverage covenants to the level that you see in the graph. The leverage covenant increases to 6.75 times for June 2020 and then it goes up to 7 times from September 2020 through March of 2021, and it decreases after that. Also we agreed to temporarily limit capital expenditures, acquisitions and share buybacks among other things. CapEx limit goes from $1.2 billion to $1.5 billion per year when the leverage ratio is less than 5.25 times for two consecutive quarters. And we have a $500 million basket for repurchases, which can be used when our leverage ratio falls below 4.5 times. These limits are in line with our previously announced measures to contain the impact of COVID-19. Our interest rate margin has been adjusted to accommodate the new higher leverage ranges to the consolidated leverage covenant as shown in the table. It’s very important to highlight that the margin grid remained unchanged from our prior agreement for leverage levels below 5 times, and simply adds pricing for leverage above 5 times. And now I’d like to turn the call over to Fernando. Back to you, Fernando.
Fernando Gonzalez: Thanks, Maher. Even the continued uncertainty from COVID-19, it is very difficult to provide EBITDA volume guidance at this time. But we can comment on the order of variables cost effective response to do we estimated that minus 7% from minus 7% to minus 5%, previously it was minus 6% to minus 4%. Adjustment important mainly due to lower fuel of our cost. Also CapEx unchanged versus previous guidance. Not change of a guidance for cash taxes and cost of debt. Working capital will be higher than the $100 million guidance provided in fourth quarter ‘19. That again, due to continued lack of visibility on our top line growth, we still cannot provide a specific amount. So in summary, we saw local restrictions on our business in second quarter that we have never experienced before. These were all occurred at a time of tremendous uncertainty that our management team reacted quickly and took immediate steps to protect employees and customers, as well as stabilized our business for whatever conditions might develop. June volumes for our three core products show sequential model improvements in all regions, while July month-to-date consolidated cement volumes are up 4% year-over-year. Key events will be the status of explaining similar efforts in many countries, additional lockdowns or announcement and execution of infrastructure stimulus packages, as well as the base of economic recovery. You should expect that we will continue to focus on health and safety of our stakeholders that we will continue with our COVID-19 cost initiatives and be vigilant to changes in market demand. We will make the most of our competitive advantages, like our digital platforms, our well developed distribution arm and diversified product and market segment offerings to stabilize demand. And finally, as visibility improves, we will redeploy our historic level of cash to pay down debt. Thank you for your attention. And I would like to take this opportunity to wish everybody good health and to please keep safe.
Maher Al-Haffar: Before we go into our Q&A session, I would like to remind you that any forward-looking statements we make today are based on our current knowledge of the markets in which we operate, and could change in the future due to a variety of factors beyond our control. In addition, unless the context indicates otherwise, all references to pricing initiatives, price increases or decreases, referred to prices for our products. And now, we will be happy to take your questions. Operator?
Operator: Thank you. [Operator Instructions] And our first question will come from Adrian Huerta with JP Morgan.
Adrian Huerta: Thank you. Hi, Fernando and Maher. How are you doing now? Well, congrats on the result despite the environment.
Fernando Gonzalez: Thanks, Adrian.
Maher Al-Haffar: Thank you very much, Adrian.
Adrian Huerta: Thank you. Mark it on to number one. What was the experience of navigating to the second water on top of what we saw on the results and the measures that we’re taking and on top of what you have already mentioned on the outlook, what else can you share based on this experience on what could be the outlook for the rest of the year?
Fernando Gonzalez: Sure, Adrian. Thanks for your for your question. I think, you know, we all have gone through a phenomenon exogenous one, causing lots of uncertainty. So we position ourselves let’s say, in early last March. We already then understood that the viruses are going to be impacting in an important manner, but you know, we worked – we spent spend some time trying to answer three questions. The first one is how deep the damage was going to be? How long was it going to last? And if there were going to be repetitions or not? Now after a few days, we’d realized that we could spend time getting – we were getting worst. So we decided to just to act and make what we call, you know, a hard stop, meaning, we don’t know, but given that we don’t know, let’s stop whatever we think is not essential for the next three months and that is what we did. And that – that’s why we manage to offset somehow the very negative impact of different markets locking down. Three main priorities. First, of our employees, customers and suppliers as a pre-condition of business continuity. Second, assuring that we could serve our customers, meaning, taking care of all our supply chain and allowing and promoting our platform, our CEMEX Go and construrama.com platforms for our customers to be able to interact with us without a let’s say, with a physical distance and the third was liquidity. So the thinking process was as simple as that. We just decided three months have already past. And I think we are in a very good position to continue this journey. I think what we will be thinking as we are not providing avenue called guidance. What we will be facing even months to come is a situation in which we are going to be doing business across few things with the virus. Until there is a vaccine or a treatment or anything, but we have to consider that almost everywhere we will continue operating under these circumstances. So, because of that, and still lots of certainty, we decided to extend the same measures that we took from the first 90 days, we already extend them as of December 31st with a key exceptions. The session in March was to stop thinking that some plants we’re going to shut down is – it is not the case. So we need to engage an additional maintenance when compared to the decisions to reduce debt. But in general, their decision has been extended. We are going to be facing this way to coexist with the virus with more or less the same priorities. So that was our thinking process, Adrian. Nobody knows what’s going to happen? But we can think on second or third wave. The ones we have seen like they do not have an economic impact as strong as the original one. But all of that is to, do we think – we are prepared to continue acting cautiously in this environment.
Adrian Huerta: Thank you, Fernando. For me, I think the companies with strong operations shine during difficult times and you guys did, so congrats on that. And if I might just do a follow-up. You think given the numbers that you mentioned on CEMEX Go, the good increase that you saw on your platform et cetera. Do you think that you gained market share during the quarter in some of your key markets?
Fernando Gonzalez: Yeah I’m not completely sure you know, we need to wait until the public info is available. But what I can tell you, Adrian, is that, we do believe given that other companies do not have still a platform end to end of the commercial relation meaning from very early stages of the commercial process, all over the transaction you know, requesting, buying and asking a programming, believer in paying everything. And some customers might have preferred that type of services during this period of time. Again, we don’t have part of that, that to say that, but we believe it is helping.
Adrian Huerta: Understood. Thank you, Fernando, again.
Adrian Huerta: Thanks, Adrian.
Adrian Huerta: Yeah.
Operator: And the next question will come from Gordon Lee with BTG. Please go ahead.
Gordon Lee: Hi, good morning. Thank you very much for the call. I hope everyone and their families are doing well. Two quick questions. First, on the cost reductions on the savings. I was wondering first, if you could give us a sense of how much you think of the savings that have been achieved year-to-date or that you’re expecting for the year as a whole? How much of that do you think is permanent? And how much of that is sensitive to volume growth? In other words, if you do see a recovery continuing this year and to next, how much of those savings will actually remain in place? And on the savings front I was also hoping maybe you could provide a little bit of color on the US, where the margin expansion was impressive. And so I don’t know whether the cost savings were particularly concentrated there. And then just the second question, if you could remind us what the total proceeds of pending – excuse me, your pending asset sales is and when we would expect those to hit the balance sheet? Thank you.
Fernando Gonzalez: Thanks, Gordon. Let me take the first question regarding savings. In total, you know, we – you know, we were – we did activate certain optimizations and savings to progress CEMEX and then in March, we took additional decisions because of COVID-19. So we ended up having everything and calling it Operation Resilience. All in all, we are expecting to save around $230 million, of which, around $140 million saved in the first half. The remaining you know you can check the remaining in the second half, but the – you know, it is very challenging to answer how much of that is permanent, because we still don’t have a clear scenario that we can define and compare with. I think scenarios are still wide open because of uncertainty. But what I can tell you now is that, I think I already mentioned, because of the decision we took last March was a strong one. Now given that we have a more positive scenario than the one we saw then, now we need to engage in certain expenses on CapEx to keep some plants running. And those expenses that were saved in the first half, we will spend in the second half and those are mainly maintenance and are between $20 million and $25 million. The rest, unless something really changing very fast, very you know positive or negative, but we continue the rest of the year more or less in the same, let’s say, a scenario in the same context, all those savings can be kept during the year. Regarding the US, in the US, our savings – the US, you know, there were some changes in our management teams and the head of the US a few months ago. On to a stronger CEMEX and with the direct contributions from the team, we can manage to define savings for about monetarily all of them this year, but most probably that will be the case from between $100 million to $120 million and those are both savings that are coming in different – from different contexts. One very relevant is related to primary fuels that we are switching a number of plants that we used to run with coal and it happens that because of the dynamics, now it is much better to run that in coke and that will allow us to save some money. There are additional market measures we are getting the new segments in different states. So that is helping some out of the margins in the year. I think you also have a question regarding assets. You know, there is very little we can say right now, as you can imagine, because of COVID-19 in fact, you know, kind of a little down on the platform divesting assets that we have not changed our mind, so we will continue and that is what meaningful.
Gordon Lee: Thank you. The question on the asset sales was actually of those that have already been closed so effectively are the ones that you announced prior to the COVID outbreak. How much –
Fernando Gonzalez: I see, no we don’t get to collect. The one in the UK is to be closed this month. We don’t have any info that’s supposed to the closing we have for that assets. The other one will come after is not a short tenant. My comment was to reflect all the potential asset sales.
Maher Al-Haffar: Yeah and maybe, Fernando, if I can add the – you know, we’re expecting on the UK transaction about it’s going to be around 230 - $230 million. And the balance is for the white cement and the total is about $400 million that they were expecting sometime this year.
Gordon Lee: Perfect. Thank you very much.
Maher Al-Haffar: Thanks a lot, Gordon.
Fernando Gonzalez: Thank you, Gordon.
Maher Al-Haffar: Operator?
Operator: Our next question will come from Ben Theurer with Barclays. Please go ahead.
Ben Theurer: Yeah. Good morning, Fernando and Maher. Thank you very much for taking my question and congratulations on the results, clearly impressive. I wanted to dig a little bit into the US and some of the commentary you made during the quarter and then obviously the situation as it evolves right now with searching cases and states you’re heavily exposed to Texas, Florida, California. So could you run us through a little bit how you’ve been seeing activity over the last couple of weeks and what you expect on the different markets? Just to understand a little bit how much maybe of an impact is yet to be seen in the US? That will be my first question and I have a quick one on probably on Mexico.
Fernando Gonzalez: Okay, let me take that one, Ben. Again referring to let’s say the process that we follow, we thought that the US as well as other countries we’re going to have material lockdowns or shutdowns you know with the industry. And as you know, it didn’t happen. With the exception of two or three weeks in the Bay Area, as far as I remember that US didn’t have any material lockdown. I think what we have learned from the, let’s say, our early thoughts is that, the impact of COVID directly into the market, let’s say, construction activity, volume was not as immediate as we thought originally. We have stimulus programs, fiscal programs, furloughs so – and the economy opened and, of course, except for restaurants, movie theatres, taking that nothing got impacted directly, our activity. So I think the economic impact that has softened, because all of these supporting programs. And then there were in some cases, there were some reactions that initially we were not expecting for instance, we thought that certain – that construction sites, were going to be delay in their projects. In some cases, it happened the opposite. And some construction companies seen that this process for them to finish their projects. So again, the immediate impact was not – have stopped us on what we thought. We do have order books for, let’s say, the next three months and they seems to be falling. Our concern to the best way is that, it perhaps – volumes in the fourth quarter that still you know, three months to go back on the fourth quarter and moving forward, you know might be softened because of these programs that you know gets terminated. But again, you know still very uncertain to confirm something like that. So we will continue with our programs, offers, cost reductions and let’s see how it goes.
Ben Theurer: Perfect. Thank you very much, Fernando. And then on Mexico, I was wondering if you could elaborate a little bit I mean, clearly, we’ve seen the discrepancy between back and bulk and you’ve elaborated them on the different demand scenarios. And clearly I mean volume within what is ready-mix and aggregates, which is the more former piece heavily impacted. So what’s your strategy when it comes to pricing? I mean, we all know that the Mexican peso has depreciated – stabilized now against the US dollar. But in order to recover some of that input cost pressure, which is just dollarized input cost, what’s your pricing strategy going forward in Mexico on the different segments within cement, bulk versus back and then also on ready-mix and aggregates?
Fernando Gonzalez: Okay, let me start by, I mean, I think it is more or less obvious on the dynamics that happened in Mexico during the pandemic and because of the characteristics of the market and part, because of decisions made on partial lockdowns in the industry. You know in Mexico in average 65% of cement is holding back, and if you remember the lockdown needed immediate sales of bagged cement in retail stores that was not cancelled. And at the same time, the large work of the new airport, Dos Bocas and the Mayan Train also was not shutdown. So what you saw in the last few months is that, the infrastructure and formal activity did decline materially. But bagged cement because of not being locked down and because of some government investment in social programs related to the consumption of bagged cement did offset in an important matter, the decline of the former part which is both cement and ready-mix, and to some extent, aggregates. Now, Mexico is the industry, it’s opened, meaning there is no lockdown. There the volumes of bagged cement continue increasing, just to give you a couple of numbers. In April and May, that the worst month in Mexico, the decrease of volumes in both was slightly more than 40%, while bagged cement increased 5%. Now, what we have seen since then is the bagged cement continues growing in a material manner, because this month-to-date, I think as a July [indiscernible] bagged cement is growing 28% and the bulk cement is still decreasing at in a much lower manner, minus 14% that of minus 12%. So that – those have been the dynamics and you know that for the very formal part, both ready-mix the rest of the market which is the bulk of the market has not been impacted so far.
Ben Theurer: And your pricing strategy is going to try to recover basically on pricing what you lose in dollar terms, correct?
Fernando Gonzalez: Regarding pricing, well, you know, we always in our strategies, we always try to gain back input cost inflation, the – what you mentioned it is true the peso has depreciated and that is – there is a loss of prices in dollar terms. At the same time, you know, inflation has not been increasing materially. So we do have a cost inflation to, need to cover with price increases. That’s why we price increase in back cement that we use this year. Now the market is very challenging nowadays. So, it is very soon to really understand all the possibility of this price increase to stick, but that’s what we did early this month.
Ben Theurer: Okay. Thank you very much, and congrats again.
Maher Al-Haffar: Thanks a lot, Ben.
Fernando Gonzalez: Thank you, Ben.
Operator: Our next question will come from Carlos Peyrelongue with Bank of America. Please go ahead.
Carlos Peyrelongue: Thank you. Thank you for [indiscernible] for the coal and let me echo what others have said regarding the results despite the very challenging situation, your margins were much better than expected. So my question is related to margins. Can you – you comment a little bit already, but if there any you know, any major disruption going forward, should we expect margins flat versus last year? Is that something that you think is achievable considering the $230 million in savings that you’re expecting for the year? Clearly, the US margins were much better than expected, but this wasn’t you know mostly in your major markets. So if you could comment a little bit further on margins would be appreciated.
Maher Al-Haffar: Sure, Carlos. I will take a stab at it and then if Fernando wants to add. I mean, we think, you know, as Fernando said earlier, we think that most of the cost cutting efforts that we have to, in the first half of the year, should think, and in fact, some of the expenses that we incurred in dealing with the COVID-19 crisis, which we had some that were in the other income expenses line are also likely to occur at a lesser pace. So everything else being equal, I mean, we expect to kind of retain the margin levels that we have, there is a possibility that, you know, things could be better, but as you heard, I mean, out of a $230 million cost cutting efforts under Operation Resilience, we’re expecting you know, $140 million happened in the first half and we’re expecting the balance to happen in the second half of the year. Now as far as, you know, as far as the different margins like in the US, for instance. I mean, there, you know, as you know and as Fernando mentioned, I mean, we had a program that started an efficiency program that started in a third quarter of last year. And that program has been going on and it’s paid off quite nicely. And, you know, operating expenses in the US were dropped significantly, I mean, we had almost a drop of 10% in operating expenses there. Everything from you know, SG&A, travel, you name it, plus the reductions in fixed costs also were achieved, you know, improvements in profitability in the ready-mix business, for instance, was achieved, energy was a very important source. So, all of these things are expected, you know, frankly to continue in the case of the US business.
Carlos Peyrelongue: Understood, thank you. And you could comment on pricing one the US. Have there been any announcement of increases in prices that we should expect in during the summer or have you already implemented those in the second quarter? Can you comment a little bit on US pricing?
Maher Al-Haffar: Yes, I would say that pricing was fairly stable on a sequential basis. I mean, we had flat pricing for our three products on a quarter-on-quarter basis. As you know, the biggest pricing increase was expected to take effect in April. Unfortunately, because of the COVID-19, ourselves and most other players decided to push it to July. And, you know, we’re and I guess in some cases, with some clients, the pricing increases did go through in April, but mostly it’s being staggered into, you know, was staggered into kind of June and July. We did move ahead with Texas pricing increases, with Arizona and Colorado as well. We had pricing increases, but it’s being staggered, you know, by geography, and we’re fairly constructive about the ability to improve our pricing in the second half of the year.
Carlos Peyrelongue: Okay, understood. And lastly, is there anything you could comment regarding the possibility support from the US Congress any initiatives or highlighting for a potential support to the States? That’s been talked about anything that you can comment on infrastructure packages, worth highlighting any initiatives on – in the Congress?
Maher Al-Haffar: Yes, Carlos. I mean, there’s a number of things that we are benefiting from – in the US. I mean, obviously, you have a lot of the packages that were put into place that impact employment and all of that and that has been very favorable. What’s really important is, you know, is that we – you know, when we take a look at the – either the Republicans or the Democrats both have fairly aggressive proposals for infrastructure in general and for streets and highways in particular. You know, so we are – you know, we don’t expect, I mean, it could happen, who knows, but we’re certainly not expecting anything this year. But certainly into ‘21 and ’22, we do expect some – something to happen in support of the streets and highway program and the – based on the programs that are being mentioned, I mean, the latest announcement from the Democrats, the components that they are talking about for streets and highways, if enacted could represent a very material increase over the life of the program. And the interesting thing is that the democratic proposal is very front-loaded in expenditures. So it starts impacting, as you know, the fiscal budget at the federal level or September-to-September at the state level or July-to-July. So it could literally start impacting materially the fourth quarter of ’21 if we have something enacted, you know, after the elections at the beginning of the year. So we’re quite hopeful. We think that if there’s been any time of star alignment, for something like this, it would be now. Now the other thing that is also very important is that, you know, week – it is highly expected under all of the stabilization programs and fiscal stimulus programs that are being put out, that a big chunk of that money is going to be transferred to states to bridge some of the budget deficit that some of the states are incurring at this point in time because of COVID-19. And while we think that’s going to be a little bit of, you know, a little bit like sausage making, it’s not going to be pretty while it’s happening, but we do think at the end of the day, something will happen and that should also be very supportive of the state that we operate in. Now, having said that, Carlos, it’s very important to note that, you know, our states, our three most important states, California, Texas and Florida came into this with very healthy, rainy day funds, you know, as of for state general spending. And all three states are very highly rated, I mean, California is BB minus, Texas and Florida as AAA. And so, you know, we think that our states are very high quality credit and should be more than able to, you know, to I guess to recover or to sustain the situation that we’re experiencing right now very easily.
Carlos Peyrelongue: Very clear. Just a follow-up on this, Maher. I understand that for the roads and highways, I mean a five year view is very likely to be addressed in more detail next year. But for support for the states, is that something that you think the US Congress could enact in the next two, three months? Or would you say that’s also something for that we should expect for after the election?
Maher Al-Haffar: You know, Carlos, it’s very difficult to tell. I mean, obviously, there is a lot of negotiation. I think that there is a possibility that we could get something in support of the states certainly sooner than getting a kind of final bill for that that would impact the streets and highways at the federal level. So that’s entirely possible. That could happen.
Carlos Peyrelongue: Okay, great. Thank you so much, Maher.
Maher Al-Haffar: Thank you very much, Carlos. Operator?
Operator: And our next question will come from Nikolaj Lippmann with Morgan Stanley. Please go ahead.
Nikolaj Lippmann: Hi, Fernando and Maher. Hi, everyone and just three quick questions here and also sorry, congrats on the phenomenal numbers there. First on the US, if you watch like you did in Mexico can provide a little bit of color on where the demand came from infrastructure versus residential, et cetera. Two on CEMEX Go, the 19% growth you saw there, can you talk a little bit about what markets saw that growth and your experience in terms of migrating to that model? And then finally, Maher, congratulations on your new role. As kind of a personal question to see if you’d take the bait, but you’ve been with it – with CEMEX for more than 20 years. If you can share with us sort of any ideas or changes that you can envision going forward in your new role? Thank you very much.
Maher Al-Haffar: Thanks, Nik. I don’t – Fernando, I don’t know if you want to –
Fernando Gonzalez: Let me take the one regarding CEMEX Go, Nik. I’m going to try to summarize a little bit. You know, it was like three years ago, we got engaged into the initial phase of building the platform, our commercial platform to allow our customers to do better business for them and better business for us. I mean things were, you know, that was in general terms a superior customer experience enables that technology. We ended up developing a platform that covers the full spectrum of the commercial relation from data of our products, registering customers’ orders and payments, you know, everything is covered in the platform. Now, before COVID, we are very fortunate, we – it happens that the platform started being highly accepted by customers in general, because the platform is available all over the world in all our businesses. Acceptance and adoption from our customers increased very fast. But the same way that happened in other digital services during this past few months we saw an increase of, I think, between 19%, 20% depending on the platform, we mainly have CEMEX Go and construrama.com as the main platforms. So, we have seen that customers increase the usage of the platforms. What I cannot assure is that, you know, in my view the same customers using – adopting the platform in a much more decisive way or that phenomenon plus additional customers really getting in this way. That I, at this point in time, I don’t know about it that what it is true, what I can say is that, our adoption continues growing after a year or a year and a half of making this platform available. What can I say, it works. Customers are happy with it. things are faster and that way and because of the pandemic, we’ve been able to offer, we call it a service at a distance, but with human touch, meaning it’s everything which has a – the only point, only touch point with customers is when they receive the product or when they pick up the product from our desk. The rest is done digitally.
Nikolaj Lippmann: Is that something – is this – are you seeing. What markets are – in what markets are you seeing particularly high growth from this platform? If you don’t mind me asking?
Fernando Gonzalez: Well, you know, more than specific markets, what we see is demand it seems like customer’s demand, either bulk or back adoption is much higher than for instance than volumes. But I don’t have any specific info to share on, let’s say, geographically which part – which geography or which part of the market is doing more than – that more than suited through this way to transact.
Nikolaj Lippmann: Interesting.
Maher Al-Haffar: And Nik, maybe I could respond to your question on the US. As you saw, I mean, we had fairly strong cement volumes in the second quarter year-over-year with about, you know, 6% growth in volumes. And, you know, clearly, you know, we started the year with very good momentum. And as Fernando said, you know, the US almost continued – I don’t want to say business as usual, but almost business as usual in the construction sector. And the level of, let’s say, safety that was practiced through the different protocols by ourselves and by most of our clients in the US, meant that there were not really any hotspots that were experienced in the construction area. So it allowed us the continuity factor, and that’s what was – that what contributed very favorably to our business. Now, the biggest contributor in terms of sectors, is infrastructure and residential, those are the two biggest markets those account for 80% of our volumes in the US. In the case of – and geographically, I mean, Texas and Arizona for instance, had double-digit growth, which is amazing in this kind of an environment. Florida had mid single-digit growth. California we experienced a bit of a decline in volumes primarily because higher you know precipitation and also believe it or not, because of some of the Coronavirus restrictions, we did have issues in bringing in cement into different parts of California, because we were sold out. And there were some restrictions in the Bay Area which is have been lifted off. Now, looking forward, I mean looking at what was happening in infrastructure for instance, I mean, the DoTs, it definitely took advantage of less traffic to accelerate construction. We have seen also, you know, very good demand still in terms of, you know, a lot of you know, growth in projects that are going to be lasting for two to four peers and forward. In May, we saw spending growing by 1% as you know, we have data newer than that. But we’re quite, you know, it was quite a pleasant surprise. The other thing is, we started, you know, Jaime started focusing a lot on the direct bid business which is very conducive to infrastructure projects as well as large residential and we have been successful in gaining our position in that segment. On the residential side, you know, the business has been – has continued to really boom. Unfortunately, the residential market did a little bit like we did, they went through their own hard stop. And so as a consequence of that, there has been a fairly constrained inventory in new home sales and now that things are opening up again, it’s starting to reactivate and now that interest rates are continuing to drop, we saw you know, long-term mortgage rates break below 3%, demand for housing continues to be quite strong and we frankly expected to continue housing permits, you know, rebounded very strongly in May and June, and mortgage applications, although we need to be very careful about that number also have done extremely well. The area that you know, that we think intuitively likely to be negatively impacted from all of this is the industrial and commercial. I mean, that’s something that we need. I mean, that’s suffered certainly during the first half of the year, and the jury is still out on where that happens. But fortunately, the other segments are, you know, are offsetting and giving us good outlook. And as Fernando said, you know, we’re cautious. I mean, we think forward-looking order book is good into the third quarter, where we’re being cautious probably is what may happen in the fourth quarter, but we’ll have to wait and see. I mean, visibility is not as good as we’d like it to be. You know, and certainly that’s attributable mostly to the COVID-19 situation. I don’t know if that answers your question on the US.
Nikolaj Lippmann: Very clearly, Maher. Thank you and could I get you to take the bait on some of your visions for your new role or not ready?
Maher Al-Haffar: You know, I will have to do that – it would be difficult to do it in front of my as they call my boss. So what I will – what I – all I can say, I mean, in seriousness, all I can say is that, I mean, we have a strategy that has been in place for a while that has been sanctioned by, you know, by the Board and Fernando, I – we don’t see any changes. I mean, we are going to continue to make sure, you know, our coming investment grade continues to be our north star. We will continue to manage our liability situation in order to ensure that we have, you know, minimum 12 to 24 months of runway in terms of maturities. We’re obviously continuously focused on trying to, you know, bring down our cost of funding as much as possible. And trying to, you know, maintain as much flexibility for us to conduct our business in this kind of an environment. But I don’t see any – really any changes. I mean, it’s a strategy that is being implemented and I’m very fortunate to have been asked to be in this position to be part of the execution of that strategy.
Nikolaj Lippmann: Thank you.
Maher Al-Haffar: Thank you very much, Nik.
Operator: And our next question will come from Vanessa Quiroga with Credit Suisse. Please go ahead.
Vanessa Quiroga: Hi, Fernando and Maher. Thanks for the call and taking my question. Congrats on the results –
Fernando Gonzalez: Thank you.
Maher Al-Haffar: Thanks.
Vanessa Quiroga: Bagged cement in Mexico so just to understand correctly, if you say that bagged cement is going up in July-to-date by 28% year-over-year. But you also said that you expect bagged cement performance to normalize and basically converge to the economic trends in Mexico. So can I understand – can you give some more details on your views for bagged cement in Mexico? And also on the same market, I understand that you implemented price increases for bagged cements in the beginning of July and at least a one or two other competitors also did. So what has been their response so far in terms of pricing during the month? Thank you.
Maher Al-Haffar: Fernando, would you like to –
Fernando Gonzalez: You take, yes, please.
Maher Al-Haffar: Yeah. Vanessa on the bagged cement you know, the bagged cement demand has been really driven a lot by, well, I mean they were kind of two phases in the first, you know first phase some you know, that was – distribution was never especially through our Construramas was not impacted and so a lot of the demand that would have gone – that would have come through bulk came through Construrama in bagged format. I mean, in reality, we think that there were some medium-sized and smaller contractors that were buying bagged to actually you know, batch concrete at site. Now in the second quarter, the situation took a slightly different evolution and that is that there are three things that started moving bagged cement demand much more so than bulk and that is government supported program. The government, as you know, has been encouraging self-construction and do-it-yourself improvements, home improvements. And so the government has announced a school improvement program that is close to about $0.5 billion, about $440 million. There’s also a home improvement program, Mejoravit, which is another $225 million, close to $1 million. And then there is also a rural roads program for $120 million. Now all of those programs are designed to be kind of – to promote grassroot employment in the country on a very broad base. And so as a consequence of that, that money is going through the bagged cement market and that’s why we have seen you know that the extensive growth and yes, Fernando did say and correctly, of course, is that the July month-to-date bagged growth and I forget exactly as of when it’s like the 24th or 23rd. It was up 28% year-over-year. And that’s now we do expect it to normalize. You know, that’s just kind of an expectation. You know, but the other thing that is also happening, Vanessa is very important is that, remittances are up year-to-date by 25% in dollar terms, they’re up 10%. And as Fernando said, the fourth – from a peso perspective, we have not seen at the consumer level, you know, the flow through of inflation. So, in reality, the weaker peso has translated to higher disposable income and local currency terms. And of course, that is also driving some of the, you know, investment in, you know, in home improvements and home construction and reconstruction in some cases. And that’s been kind of the strength. Now having said that, in the last two months we have seen an improvement in demand in bulk. Meaning, you know, in April, we saw bulk down 40% in July month-to-date similar to the numbers that we talked about in bagged, we saw that drop minus 14%. So it’s dropping still but by much less and that is because of the activation of some of the infrastructure programs in Mexico. I don’t know if that addresses the question. If you have any further follow-ons, I’ll be more than happy to address them.
Vanessa Quiroga: Thank you very much, Maher. Just in pricing and what has been my response in July?
Maher Al-Haffar: You know, it’s a bit early to comment on that. You know, so I would rather I mean, Fernando, I don’t know if you want to comment on that, but it’s really too early to comment on that at this point in time.
Fernando Gonzalez: I really do, Maher. Which is actually a little bit to the dynamics and, you know, of course we tried in best practice thinking that the – on the one hand, we have seen our prices of cement in real terms slightly impacted and we have not been able to gain this into cost inflation completely. And I think it’s mid 19 itself. It doesn’t work. We’re trying on even that the performance of the market in the last few months, particularly in the bagged cement market that we decided to go so let’s see in few weeks, we will announce.
Vanessa Quiroga: Okay, that’s great. This time may I would like to also ask about working capital. So we saw an improvement in average days of the cycle, do you expect to be able to keep that improvement so that our sales normalize we could see a positive result on the working capital investment line?
Fernando Gonzalez: Yeah. I think we will be able to keep it, Vanessa. Now you know it’s again, to make a hard statement on the number in this case of our working capital with such uncertain and the landscape it is very risky. So I think or what I think, what I saw of an important point for the performance in working capital is, we knew – we know we have at least our opinion of an efficient key for working capital has negative days in a sustained manner. And after the challenges of COVID in the second quarter, now we know that on top of being efficient, it is also resilient, because it was not deteriorated, it improved by 4 days. Are we going to keep those 4 days? I really don’t know. Again, to a certain we will see, but very happy with the performance of the efficiency and resiliency of our working capital.
Vanessa Quiroga: Thank you very much, Fernando and Maher.
Maher Al-Haffar: Thank you very much, Vanessa.
Fernando Gonzalez: Thank you very much.
Operator: And we have time for one last question from Anne Milne with Bank of America. Please go ahead.
Anne Milne: Good morning, Fernando, good morning, Maher. I’m sure that you’re happy that this quarter is over and that came out as well as it did, all circumstances considered. You guys have covered a lot of territory already in terms of the questions. I do want to ask one more question on CEMEX Go. And then a question on liquidity, but on CEMEX Go, I think the reason and I know there have been several questions and you provided some answers, so many questions is because you know, under this new lockdown environment, saw many more transactions are going the way of virtual. Do you have like a percentage of the number of transactions even if it’s just for cement, which you indicated Fernando it’s the strongest segment of that go through CEMEX Go or the volume? I would just sort of be curious to see how much the cement industry is going this direction right now at least your clients.
Fernando Gonzalez: Okay, sure and thanks for your question and you’re right. we are glad this quarter already finished and expecting for what’s coming. But how to say it, I think we started developing this platform because of you know, you can see it in almost all business sectors. In our case, we are in the context of digital platforms, CEMEX Go and construrama.com, both. Those platforms having the positive context of business-to-business and those are the platforms that are not necessarily the ones highly developed or the ones that have been developed in the last 20 years, it is more of the business to consumer. So we engage in a process around three years ago, I think we managed to put it later that we are originally forming a viable product and all the time and digitization of companies, we decided to focus our actual customers. And that might be a difference when we compare to the other companies in the sector, in our case is about customer. It’s about developing the superior customer experience. Now, you know, directly to your question, what we saw in a few months, let’s say 18 months or so, is that, the our customers, our current customers were engaged and started adopting the platform very fast. So right now, our adoption rate is between 60% and 65% And for our platform of this kind sounds – and after, let’s say 18 to 24 months of an operations sounds – the win sounds great, meaning, it has lots of acceptance. Of course, there were some changes within the last three months, not equivalent to other digital platforms also related to consumption to end customers. So we increased up to 19%, the use of these platforms are for sure will be reflected in entire adoption rate. Now, we do believe that one of the reasons why we don’t have is a much higher adoption rate is because in some cases, things don’t develop certain segments or sectors of our products. The customers in aggregates they keep up the product is picking up the product in our request. That’s an investment that we are doing this year. And whenever we, let’s say, develop the platform either forward, right now we’re having the fourth or the fifth version. I don’t know remember exactly. What you can expect is for that rate to continue increasing. The feedback from our customers is very positive. And what can I tell you in the case of the use of the platform we call it, the attention, I think we already mentioned it with attention of delivering the products of our customers seeking the maps on our facility. The rest can be done digitally. And I’m not saying only from the office of our customers to our office, that you can use this platform in your mobile, in your iPad, in your PC. So the employees of our customers at home can perform the whole relation or the site transaction with our employees, which are also at home. So it’s been as you can imagine, very helpful during this last three months. We are really happy that we decided to invest in digitizing our commercial relations about three years ago. And as you know, these processes are never ending type of processes. We are very happy with what we have achieved. But we have been insisting on innovating and trying to find additional ways to serve as a market.
Anne Milne: Okay, great. Thanks. Yes, I’m sure that this has helped when the customers did have cement purchases they could look at your platform and know they could access it. So on a separate question, maybe for Maher, I think one of the strengths of CEMEX going into this quarter was the strong liquidity which you increased through your drawdown of your credit facilities and your bond issuance. So now you’re – you have a really strong liquidity. I know, you mentioned that, depending on how the outlook looks going forward, you might repay some of those facilities. How are you looking at that? Particularly, let’s say in some markets, if we go into a, W, let’s say, shaped economic recovery or an additional closed downs, as they’re talking about in the US at the moment? Do you have a certain minimum amount you want to have? Or you keep like a credit facility open with the banks I mean pay that down and have it available in case you need it down the road? How are you thinking about that?
Maher Al-Haffar: Yeah, and I think you know from a liquidity perspective as you saw, we started the year with a very sizable liquidity position. As you know, we did a bond last year in November to get liquidity to use to pay down the convertible bond. And we did that, we started the year with about $800 million worth of cash, which is probably, you know, kind of doubled what we would you know – what we’ve had over the last couple of years on a quarterly basis. And we, you know, ended last quarter as a consequence of a number of things that we’ve done, we’ve retained cash from the use of proceeds from the sale of the US. We’ve raised some liquidity through short-term debt. So we started the year with about $1.4 billion. We were very happy that we got our amendment, because we wanted to make sure to take advantage of any kind of narrow market windows and we did and we issued the $1 billion notes that you saw, which have since traded very nicely. And I, you know, I think that, you know, we paid probably a little bit more at the time. But that was at the time actually the new issue concession was the tightest and we were the first company from emerging markets to be coming and doing that. We’re expecting an additional $400 million of, you know, from our asset sales settlements. So that would be on top of the $2.8 billion of cash that we have on the balance sheet as of the end of the quarter. Now, you know, going in again, it depends how things develop. I mean, this is a very – it’s a high class problem to have. It’s nice to have all this liquidity, but at the same time, it costs money, I mean, so we need to kind of – we’re looking at the different markets, we’re looking at a comfort level that would lead us to, you know, utilize some of this liquidity to reduce debt, as you know, we do have a revolving credit facility for 1 – a little bit over $1.1 billion. So we do have that flexibility for us as well. And so, you know, we haven’t made a final decision, how much of that liquidity will be deployed to reduce debt throughout the year. But as I said, I mean, we will continue to focus on making sure that we have a 12 to 24 months runway of maturities going into, you know, into the future. Now, if, as we get into next year first quarter, you know, we get into the seasonality of free cash flow and working capital needs. And so we need to, you know, we need to make sure that we have a sufficient level, not too different probably from what we had starting this year in terms of cash flow – in terms of cash on the balance sheet getting into 2021. Now, again, I’d like to make a caveat here is that, what we did was in anticipation of things to be kind of a little different than how they turned out, meaning, things have turned out a little bit better and we’ve seen almost a V-shaped recovery in most of our markets. So if we get comfortable with that, we’re likely to be then deploying more of our free cash if we’re seeing a Ws or triple Ws as sometimes Fernando tells me, you know, worldwide web kind of volatility, then obviously, we will be more defensive in our cash position, right. I mean, the last thing we want to be is, it have a, you know, is have a situation precipitated because we did not anticipate liquidity needs. So we’re very, very, we’re very vigilant. We’re watching, you know, the markets very closely on a daily basis. And as we make those decisions, you’ll see us execute in the market.
Anne Milne: Okay, thanks very much, Maher.
Maher Al-Haffar: Thank you very much, Anne.
Operator: I would now like to turn the conference over to Fernando Gonzalez for any closing remarks. Please go ahead, sir.
Fernando Gonzalez: Thanks, operator. Well, thank you all. Thanks for your time and for your attention. And as you know, if you need any additional info or want to make additional questions, please call us and, of course, we will be available for you. Thank you very much and stay safe. Bye now.
Operator: Thank you for your participation in today’s conference. This concludes the presentation you may now disconnect and have a great day.